Operator: Good afternoon. Thank you for attending today's Century Aluminum Company Second Quarter 2025 Earnings Call. My name is Makia, and I'll be your moderator for today's call. [Operator Instructions] At this time, I'd like to pass the call over to our host, Ryan Crawford. Ryan, you may now begin today's call.
Ryan Crawford: Thank you, operator. Good afternoon, everyone, and welcome to the conference call. I'm joined here today by Jesse Gary, Century's President and Chief Executive Officer; and Peter Trpkovski, Executive Vice President and Chief Financial Officer and Treasurer. After our prepared comments, we will take your questions. As a reminder, today's presentation is available on our website at www.centuryaluminum.com. We use our website as a means of disclosing material information about the company and for complying with Regulation FD. Turning to Slide 1. Please take a moment to review the cautionary statements with respect to forward-looking statements and non-GAAP financial measures in today's discussion. And with that, I'll hand the call to Jesse.
Jesse E. Gary: Thanks, Ryan, and thanks to everyone for joining. We find ourselves today in an excellent market environment for Century. So, I'll start by reviewing our second quarter performance and the strong macro conditions we've had so far in 2025. I'll then walk through our operational performance for the quarter and an update on some of our strategic initiatives, including our very exciting announcement regarding the restart of 50,000 metric tonnes of additional production at Mt. Holly. Pete will then take you through the details of the Q2 results and our third quarter outlook before we turn it over for questions. Let me begin with safety, which is core to everything we do here at Century. Our safety performance has shown improvement across our assets in the first half of the year. This is rewarding to see as we continue to invest substantial time and effort towards improving the safety culture at each of our locations. We've been specifically focused over the first half on the launch of our new safety program. Mt. Holly will be the pilot site for this new initiative that we have been working on with DuPont Safety Systems, and we are really excited to get it off the ground as we head into the second half of the year. Turning to financial results. Century generated $74 million of adjusted EBITDA in the second quarter. Rising Midwest premiums offset lower realized LME and European premiums, as well as higher-than-expected market energy prices in the second quarter. Realized LME prices averaged $2,540 in Q2, while realized Midwest and European premiums averaged $850 and $220 in the quarter. Midwest premiums saw significant positive improvement during the quarter as we began to see the benefits from President Trump's Section 232 tariffs impact our results. As we have discussed, in February, President Trump restored the effectiveness of the Section 232 program by revoking all country and product exemptions and raising the tariff rate for aluminum from 10% to 25%. These became effective on March 12 and due to our contractual lags first rolled through our results in Q2. In June, President Trump took additional action to raise the Section 232 tariff to 50% in order to support the domestic industry and incentivize domestic production to ensure our national security. Following this announcement, spot Midwest premium today is sitting at close to $1,600 per tonne or $0.72 per pound. Just please remember, while these tariffs became effective in Q2, they will only partially affect our results in Q3 and then be fully reflected in our results in Q4. Pete will give you more details here. The best part of this news is that the Section 232 program is working as we have seen strong domestic demand for all of our products and our customers are increasing orders. And as the largest producer of primary aluminum in the United States, Century is doing its part to build and secure the aluminum production that is so essential to U.S. national security needs. More on that at the end of my remarks. In July, we were also very pleased to complete the refinancing of our outstanding 7.5% senior secured notes in Icelandic casthouse loan facility with the issuance of our new $400 million tranche of 6.875% notes. Pete will walk you through the details here, but we are really pleased to simplify our debt structure, lower our interest costs and push out the maturities with this transaction. Turning to Slide 4. Power prices fell quarter-over-quarter, but unusually warm summer temperatures led to slightly higher-than- expected energy costs for Century in Q2. These temperatures persisted into July, but we have now returned to more normalized levels. With natural gas prices also falling to $3 per MMBtu, we expect power prices to continue to move lower as we enter into the fall shoulder season. Turning to Page 5. As you can see in the top left graph, we continue to expect constraints on new global supply to drive a global market deficit in 2025. Global aluminum supply remains challenged with China very near its 45 million tonne production cap and limited announced new global projects. We believe demand growth will continue to outpace supply in 2025 and for years to come. Global inventories remain near post-financial crisis lows in Q2 at 47 days. We have seen U.S. demand for domestically produced billets continue to grow this year following the effectiveness of the revised Section 232 tariffs on aluminum in March. Century's domestic billet shipments are up 8% year-over-year in the first half, as downstream customers look to shift supply chains back to the U.S. following the expansion of the Section 232 program to cover extrusions. As we begin to enter into the 2026 billet season, the strong domestic demand growth should be supportive of higher value-added aluminum premiums in 2026. Just as a reminder, our value-added products in the U.S. are sold on an annual basis. So, we would expect to see those increased billet prices flow through the results beginning in the first quarter of next year. Turning to alumina. Global supplies remained stable with market pricing remaining at normalized levels in Q2. Spot API prices are approximately $375 today. The Atlantic region, where our Jamalco operations are located, has become increasingly short alumina, resulting in an expanding Atlantic premium for alumina of about $30 today. This is a good example of how Jamalco, like Century Smelters, benefits from its strategic geographic locations close to its customers in short markets. The bauxite market also continued to experience turbulence, especially in Guinea, where operating licenses for several key producers have been suspended and in some cases revoked. These disruptions have lent continued support to seaborne bauxite prices and in turn, the alumina price. Please remember that Jamalco does not have exposure to seaborne bauxite prices as the plant is totally self- sufficient through its long-term mining licenses, another key strategic differentiator for the plant. Turning to Page 6. You can see that spot coke, HFO and caustic soda prices remain near their year-to-date average prices. Okay. On to operations. Our assets continued to deliver strong operating results in Q2. Starting with Sebree, the plant had another excellent quarter, producing strong operating results despite the very hot summer weather. The plant also completed its planned major maintenance program in the carbon plant on schedule and without any impact on production levels. The team at Sebree continues to deliver quarter-after-quarter. In Iceland, Grundartangi continued to ramp its billet casthouse production as it optimizes performance during its first full year of operations. Grundartangi did see a slight production volume headwind of about 3,000 metric tonnes in the quarter as it experienced a failure in one of its electrical transformers. While the plant was able to continue full operations with redundant equipment, it will run on slightly lower amperage until a replacement is on site. Jamalco produced the targeted production levels in Q2 and remains focused on executing its major capital improvement program to return the plant to its nameplate capacity of close to 1.4 million tonnes. The new steam power generation turbine that we discussed on our last call is now on site, and the installation and integration process is underway at the plant. We continue to believe the turbine will be operational in the first quarter of 2026, which will enable Jamalco to be fully self-sufficient in its power generation and lower its cost structure by reducing costly third-party power purchases. At Hawesville, the strategic review process has gone well, and we are now negotiating final terms. We expect to conclude the strategic review process by the end of Q3. Just before I turn the call over to Pete, I'd like to thank President Trump again for the significant actions that he and his administration have taken to restore American manufacturing and stand up for American workers. The Section 232 tariffs have truly enabled a new future for the U.S. aluminum industry. And we believe a key part of that future will be our new smelter project. Once built, the new smelter will be amongst the most modern and efficient smelters in the world. It will represent the first new smelter built in the U.S. in 50 years and will double the size of the existing U.S. industry, creating over 1,000 full-time direct jobs and over 5,500 construction jobs. Combined with the second new smelter project announced since President Trump took office, President Trump's policies have enabled a future where we could see U.S. production triple by the end of the decade. This is a monumental change from the last 25 years, where failed trade policies led to the destruction of American manufacturing and American jobs. And to further Century's commitment to U.S. aluminum production, we are very pleased to announce today that we've made the decision to restart the last 50,000 metric tonnes of capacity at Mt. Holly and return the plant to full production. This project will increase Mt. Holly's production to over 220,000 metric tonnes per year at nearly 100 full-time U.S. manufacturing jobs at the plant and represent an investment of approximately $50 million. We expect first hot metal from the incremental pots in the first quarter of 2026 and should be at our full 220,000 tonne run rate by the end of Q2. We are confident that the combined efforts of the Mt. Holly team and our valued partners at Santee Cooper will successfully complete this critical project and ensure the long-term viability of this excellent plant. Pete will walk you through more details on the project spend in a bit. Century's Mt. Holly expansion will increase total U.S. primary aluminum production by nearly 10%, replacing imported metal. This project, along with our new smelter project, would not have been possible without President Trump's Section 232 program. We look forward to working with the Trump administration to continue to grow U.S. aluminum production to meet our national security needs. Pete will now take you through our financial performance in more detail.
Peter A. Trpkovski: Thank you, Jesse. Let's turn to Slide 7 and review our Q2 performance. On a consolidated basis, second quarter shipments increased to approximately 176,000 tonnes, an increase of 4% sequentially, reflecting strong operational performance across all of our smelters. Net sales for the quarter were $628 million, a $6 million decrease primarily due to lower third-party alumina sales, partially offset by higher shipments and all-in metal pricing. For the quarter, we reported a net loss of $5 million or $0.05 per share. Our adjusted net income was $30 million or $0.30 per share, excluding exceptional items. Adjusted EBITDA was $74 million for the quarter. As we've discussed, the Section 232 aluminum tariffs were increased to 25% with no country exemptions on March 12. While the Midwest premium began to increase from 25% tariffs in Q2 as a result, lower realized LME and European duty paid premium partially offset this benefit. Moving on, we continue to make progress on improving our balance sheet during the quarter. Liquidity increased to $363 million, up $24 million quarter-over-quarter, and our cash balance stood at $41 million. Net debt was relatively flat from the prior quarter at $446 million. As you saw us announce in July, we successfully completed the refinancing of our $250 million senior secured 7.5% notes with new $400 million senior secured notes at 6.875% extending the maturity to 2032 and simplifying our debt structure. We are pleased to substantially lower our borrowing costs, which speaks to the improvements in our business over the past several years. The use of proceeds will be to pay down our existing credit facilities across the U.S. and Iceland, including our Icelandic casthouse facility, which will lower overall interest expense for the company. We will maintain our net debt level from before the transaction after we pay down the outstanding credit facility amounts. Our priority to lower our debt and achieve the $300 million net debt target remains unchanged. Overall, our Q2 results continue to reflect operational and capital discipline. Now let's turn to Page 8, and I'll provide a breakdown of adjusted EBITDA results from Q1 to Q2. Adjusted EBITDA for the second quarter decreased $4 million to $74 million. Realized LME of $2,542 per tonne was down $11 versus prior quarter, while realized U.S. Midwest premium of $850 per tonne was up $247, reflecting the increase in Section 232 aluminum tariffs from 10% to 25% in March. And our realized European duty paid premium decreased $115 per tonne to $220. Higher Midwest premium is slightly offset by lower LME and European premium, which when combined together contributed an incremental $11 million compared to the prior quarter. Energy costs were lower, driven by improved market energy prices versus the prior quarter. However, in June, we saw unusually warmer temperatures to start the summer and market energy prices ended the quarter higher than anticipated, muting the previously anticipated benefit from prior quarter. Despite this jump in June, energy prices drove a $2 million improvement quarter-over-quarter. Alumina and our other key raw materials were an $8 million headwind in the quarter, in line with our previously provided outlook. Currency headwinds impacted the quarter by $4 million from our foreign operations, primarily from wages denominated in local currencies. The weaker dollar drove the Icelandic krona to appreciate by more than 8% to the U.S. currency quarter-over-quarter. We expect this to continue into the third quarter, and I will discuss the impact of that on our Q3 projection in just a moment. As Jesse discussed, we completed the maintenance project in Sebree's carbon plant and realized the OpEx headwind of $10 million in the quarter as anticipated. We ended the quarter strong from an operational perspective and saw a $5 million benefit from volume and mix. Now let's turn to Slide 9 and look at cash flow. We began the quarter with $45 million in cash. We funded $18 million of CapEx in the quarter that went primarily towards our ongoing investments at our Jamalco business. We also paid $14 million in normal interest in the quarter. We will see a reduction in future interest payments as the recent refinancing decreased our coupon to 6.875%. We continue to accrue 45X tax credits. As of June 30, we have a receivable of $195 million related to the full year 2023, 2024 and first half 2025 U.S. production. We continue to expect to receive the FY '23 credit in cash imminently and the remaining FY '24 amount over the next 6 to 9 months. Working capital was a build this quarter, but mostly a neutral impact for the first 6 months of the year. We ended Q2 with $41 million in cash and strong liquidity in place to support our strategy going forward, including organic growth projects such as Mt. Holly restart. As Jesse discussed, we are really excited to announce the restart of our currently idle capacity at Mt. Holly, bringing back 50,000 tonnes of production to reach production volume of over 220,000 tonnes per year. The project spend will be approximately $50 million to restart those last 90 pots, which will almost be a straight-line spend through the completion of the project by the end of Q2 2026. To be clear, that's about $4 million per month over the next year. We will also have some working capital to procure additional raw materials to support the energizing of these pots. The additional working capital is approximately $15 million and will mostly come in 2026. We expect to fund the project through our current balance sheet. The financial benefits of the project are incremental volume at favorable margin and fixed cost absorption. At spot pricing levels, we expect the project to nearly pay back our investment by the end of 2026. Now let's look ahead for the next 90 days. At current realized prices, we expect Q3 adjusted EBITDA in the range of $115 million to $125 million. For Q3, the lagged LME of $2,495 per tonne is expected to be down about $45 versus Q2 realized prices. The Q3 lagged U.S. Midwest premium of $1,450 per tonne is up $600 versus Q2 and partially reflects the Section 232 aluminum tariff increase from 25% to 50%. The European delivery premium is expected to be $200 per tonne in Q3 or down about $20 per tonne. Taken together, the lagged LME and delivery premium changes are expected to have a $50 million increase to Q3 adjusted EBITDA when compared with Q2 levels. U.S. energy prices remained slightly elevated in Q3 thus far, but we have started to see historical levels return in August. Lower oil prices will also benefit the price of heavy fuel oil, a key input at our Jamalco refinery. At these prices, total energy headwinds should reduce adjusted EBITDA by $5 million. Coke, pitch and caustic prices have all remained steady in recent months and are expected to be flat in Q3. We continue to expect further headwinds from currency into the third quarter at our foreign operations on the U.S. dollar impact on wages and other local currency-denominated expenses. We are estimating a $5 million impact in Q3. As previously discussed, we completed the carbon plant maintenance project at our Sebree, Kentucky facility in Q2 as anticipated and expect our Q3 OpEx to improve by $5 million to $10 million. Volume and mix are expected to decrease by $0 million to $5 million from Q2 levels. We also include the estimated hedge and tax impacts to help model our business. We expect a $5 million to $10 million headwind from realized hedge settlements and a $0 million to $5 million tax expense, both flowing through the Q3 P&L and impacting adjusted net income and adjusted earnings per share. As a reminder, our appendix details the full hedge book and continues to show the vast majority of LME and regional premium volumes are exposed to market prices. Finally, we are very excited to deliver results in such a favorable market environment. Because of our contractual lags on our revenues, the strong price environment we see today will continue to drive our earnings growth beyond Q3 and into Q4. With spot LME prices exceeding $2,600 per tonne and Midwest premium at $0.72 per pound or approximately $1,600 per tonne, we are extremely well positioned to capitalize on this momentum and achieve additional earnings growth in Q4. We thank you for your time and look forward to taking your questions.
Operator: The first question is from the line of Kat Jancic with BMO.
Katja Jancic: Starting on Mt. Holly, can you talk a bit about your sourcing plans for raw materials, especially alumina?
Jesse E. Gary: Sure. Thanks for the question. Yes, we'll be able to service the additional alumina needs for Mt. Holly within our already set alumina book for 2026. So, we don't see any changes necessary to our current alumina sourcing planning in order to serve the additional alumina needs for the smelter. You can continue to use the alumina information that we include in our slide deck on Page 18 to model our alumina exposure for 2026.
Katja Jancic: And then maybe just on the 45x credit, I'm assuming that, that incremental 50,000 tonnes is going to get that benefit as well. Is that fair? And how much could it be if that's true?
Jesse E. Gary: Yes, that's correct. So, you can just take those incremental tonnes and compare that to our existing tonnes and our existing credit, which we've said should average in the $70 million to $80 million range, and you should get sort of a pro forma amount of additional 45x credit for those additional 50,000 tonnes.
Peter A. Trpkovski: Yes. Katja, I would just add, it's Pete. Obviously, 45x is just the U.S. production. So just look at the U.S. production volume for that.
Katja Jancic: And I know you mentioned that the manufacturing credit receivable is still at $195 million. I thought some of that around $60 million was expected this quarter. Can you talk about maybe is there any -- are there any delays? Or when could we see some of that credit actually in cash?
Peter A. Trpkovski: Yes. Thanks, Katja. It's Pete again. As I mentioned in my prepared remarks, we currently continue to expect the FY '23 amount imminently and expect our FY '24 amount over the next 6 to 9 months. So, just to elaborate, we do have some visibility into the tax return, and we have a certain level of engagement with the IRS. And we can see that our return is in the final stages of processing, and that's for the FY '23 amount. We did just file our FY '24 return, and that's why I said we expect that one over the next 6 to 9 months.
Jesse E. Gary: And that should be a good time frame going forward as we process 45X credits in the future.
Operator: The next question is from the line of Nick Giles with B. Riley.
Nicholas Giles: Guys, nice to see the Mt. Holly announcement here. I read in the release that some final details are subject to the definitive agreement with Santee Cooper and then also some economic incentives provided by Berkeley County in South Carolina. Are you able to give us a sense for those incentives or how much they ultimately played into the decision?
Jesse E. Gary: Those are not public, Nick, so we can't talk about those at this time and it is obviously helpful and important for the restart and the State of South Carolina has been a very good partner in making sure that those important manufacturing jobs stay in the state. So, we're very thankful to the work they've done. But both the power contract and those incentives, while we have agreements in principle, we'll just need to get nailed down over the coming weeks. Don't anticipate any problems there. And again, I would just like to thank our partners at Santee, who we've been partners with for nearly 50 years now at Mt. Holly.
Nicholas Giles: Got it. Maybe next one. Just was hoping to get an update on Hawesville. How should we think about your appetite to continue to pursue a deal with a developer versus a potential restart?
Jesse E. Gary: Yes. That process, as I said, continues, but we are now in final negotiation. So, we do make -- or we are making good progress. And we would expect that we'll finish sort of the entire strategic review process, which includes both those negotiations and also our analysis on restart over the next quarter and be able to really make a decision on go forward for Hawesville at that time. But the process continues to be good and constructive, Nick. We continue to have positive engagement and those negotiations are moving forward well.
Nicholas Giles: Good to hear. Just one more, if I could. Can you remind us just how should we think about milestones with regard to the new smelter. I mean, would site selection be kind of the first announcement? Is that kind of -- could we see something there before year-end? Or should we look to kind of 2026 for that to progress further?
Jesse E. Gary: Yes, Nick, the first milestone or the next milestone that you'll see will likely be that site selection, which is tied to coming to an agreement on the energy. So, you'll see those 2 announcements likely at the same time. And while I won't sort of handicap the time frame there, we do continue to work actively on that. As you might imagine, that is one of the more complex parts of developing the project, given the large amount of energy that's needed and given the significant state incentive packages that will also play a role in citing that project. But -- so I'll just say we continue to work hard on it, making positive progress, and we'll come back to you as soon as we can. But that's the next announcement. The next stage would be to do the next phase of engineering work, which will be site specific, which will give you another 6 to 9 months of engineering time. So again, like we said on the last call, you're probably looking in the second half of 2026 before you see any major spending on the project on the capital side.
Operator: There are no questions registered at this time. [Operator Instructions] The next question is from the line of Katja Jensic with BMO.
Katja Jancic: Maybe just quickly, you mentioned that in 2Q, we're not going to fully see the benefit from the Midwest premium as it stands currently and the LME aluminum price is also at higher levels than what's baked into your 2Q guide. So, if we assume your sensitivities and the current spot prices, is it fair to assume that your EBITDA generation could be in the range of $140 million to $150 million?
Jesse E. Gary: Thanks, Katja. Great question. Let me walk you through it. I think you hit it right on the head. But as I mentioned in my remarks, because of the contractual lags, we expect that earnings growth beyond Q3 and into Q4 at these spot levels. So today, spot LME is sitting just above $2,600 a tonne. And if you compare that to our Q3 realized expectation of about $2,500, that's about $100 per tonne increase. So, if we do realize that LME for a full quarter, as you probably already did in the sensitivities, that's about -- it's $46 million for a year for $100 per tonne change or about $11 million, $12 million per quarter. That's just for LME. We also see spot Midwest premium of $0.72 today. That's nearly $1,600 per tonne. And again, if you compare that against our Q3 realized expectation today of $1,450 per tonne, that's approximately $150 per tonne better. So again, looking at the sensitivities, if you took that and compare it against the realized price for a full quarter spot against realized, you should expect to see another $15 million uplift on Midwest premium into Q4 from the Q3 levels. So together, about $12 million of LME and another $15 million of Midwest premium. So, I think that takes you right about into the range that you were quoting.
Operator: The next question is from the line of Nick Giles with B. Riley Securities.
Nicholas Giles: With all that's going on in the U.S., I didn't want to leave your Iceland footprint out here. Can you just speak to progress at Grundartangi on the castthouse? I mean, how have operations been going there? And then can you also speak to just kind of value- added premiums in Europe? What are your expectations today? Anything would be helpful there.
Jesse E. Gary: Sure, Nick. Yes, castthouse project continues to go well. It's a great brand-new castthouse. A lot of people at the U.S. assets are gelled with that brand-new shining castthouse that we have in Iceland. And as you might imagine, as you start-up a new castthouse, there is a ramp-up period where you're both ramping up production and also sort of dialing in your processes and getting a lot of new people up to speed on what really is a skilled workforce to cast billets. So that process continues to go well. They continue to make progress, and we're really excited to kind of go into the 2026 billet season really running on all cylinders. So, lots of progress there, good things to come. And the market has continued to accept that new billet with open arms. People are liking what they're seeing. And I think the quality has been really good. So all good on that front. More generally, on the market side, Europe has been weaker than what we've seen in the U.S., of course, and that's been persisting for a number of quarters now. We have more recently seen billet premiums firming a bit as the European duty paid premium has gone down on commodity-grade aluminum, the billet premiums have actually expanded a bit to fill in the gap. So that's been a positive development there. Obviously, good for us with the additional volumes we'll be bringing in next year. So, all is looking pretty good there. It is summer in Europe today. So, we'll wait for summer to end and come out ready to go into the fall season and into 2026.
Nicholas Giles: Great to hear. Maybe just one more on Jamalco. Can you remind us of what should we be penciling in for CapEx there in 2026 as it relates to incremental production?
Peter A. Trpkovski: Yes, Nick, it's Pete again. We do break out sustaining and investment capital in our appendix for the whole business. But I can just kind of give you a sense of what sustaining and investment CapEx we expect for Jamalco in '26. It's basically for our 55% interest, about $10 million to $15 million in next year for sustaining, as well as the investment. So as Jesse said earlier, we are continuing our investment program at Jamalco, mainly right now, it's the steam turbine generator, but we have identified some other projects to get the business back to its nameplate capacity and get it back to the second quartile of the cost curve. But for right now, and we'll update this again on the Q4 call like we always do, but I would expect to have that repeat in '26. So again, $10 million to $15 in sustaining as well as $10 million to $15 million in investment at Jamalco next year.
Operator: There are currently no questions registered. So, at this time, I'll pass the call back over to our management team for any further remarks.
Jesse E. Gary: Okay. Thank you, and thanks to everyone for joining, and we'll talk to you guys again on the Q3 call. Thanks a lot.
Operator: Thank you all. That concludes today's conference call. We appreciate your participation. We hope everyone have a wonderful day. And at this time, you may now disconnect your line.